Operator: Good day, everyone, and welcome to the Credit Acceptance Corporation Second Quarter 2024 Earnings Call. Today’s call is being recorded. A webcast and transcript of today’s earnings call will be made available on Credit Acceptance website. At this time, I’d like to turn the call over to Credit Acceptance’s Chief Financial Officer, Jay Martin.
Jay Martin: Thank you. Good afternoon, and welcome to the Credit Acceptance Corporation second quarter 2024 earnings call. As you read our news release posted on the Investor Relations section of our website at ir.creditacceptance.com and as you listen to this conference call, please recognize that both contain forward-looking statements within the meaning of federal securities law. These forward-looking statements are subject to a number of risks and uncertainties. Many of which are beyond our control and which could cause actual results to differ materially from such statements. These risks and uncertainties include those spelled out in the cautionary statement regarding forward-looking information included in the news release. Consider all forward-looking statements in light of those and other risks and uncertainties. Additionally, I should mention that to comply with the SEC’s Regulation G, please refer to the financial results section of our news release, which provides tables showing how non-GAAP measures reconcile to GAAP measures. At this time, I will turn the call over to our Chief Executive Officer, Ken Booth, to discuss our second quarter results.
Ken Booth: Thanks, Jay. We had a mixed quarter as related to collections and originations, two key drivers of our business. Our 2022 vintage continued to underperform our expectations, and our 2023 vintage began to slip as well. We’ve made an additional $147 million adjustment to forecasted net cash flows on top of our normal loan forecast model, but just our loans originated in 2022, 2023 and the first half of 2024, where we believe the ultimate collection rate will be based upon trending data over the last several years. Historically, our model has been very good at predicting loan performance in aggregate, but our model worked faster in less volatile times. The pandemic and its ripple effects create volatile conditions, federal stimulus, enhanced unemployment benefits and supply chain disruptions led to vehicle shortages, inflation, et cetera, all of which impacted competitive conditions. We have had larger-than-average forecast misses both high and low during this volatile period. But because we understand forecasting collection rates is challenging, our business model is designed to produce acceptable returns even if loan performance is less than forecasted. Even with our reduction in forecasted collections this quarter, we believe we will continue to produce substantial economic profit per share in the future. As I’ve explained in the past, we are less reactive to changes in competitive and economic cycles and others in the industry because we take a long view of the industry. We priced to maximize economic profit over the long term and we seek the best position the company has access to capital becomes limited. Ultimately, we are happy we have the discipline to maintain underwriting standards during easy money times of 2021 and especially 2022. As well, our market share was lower during those years we believe it has put us in a better position to take advantage of more favorable market conditions today. During the quarter, we experienced strong growth and had our highest Q2 unit and dollar volume ever, growing our loan unit and dollar volume by 20.9% and 16.3%, respectively. Our loan portfolio is now a new record high at $8.6 billion on an adjusted basis. Our market share in our core segment continues to increase being 6.6% as of May 31, 2024. Beyond these two key drivers, we continued making progress during the quarter towards our mission of creating intrinsic value and positively changing the lives of our 5Cs constituents: dealers, consumers, team members, investors and the communities we operate in. We do this by providing a valuable product that enables dealers to sell to consumers regardless of their credit history, dealers to make incremental sales for the roughly 55% of adults with other than prime credit. And these adults that enables them to obtain a truck vehicle to get to their jobs, take their kids to school, et cetera, but also gives them the opportunity to improve or build their credit. During the quarter, we originated 1,057 contracts for our dealers and consumers. We collected $1.3 billion overall and paid $84 million in portfolio and profit, from portfolio profit expressed to our dealers. We added 1,080 new dealers in the quarter and now have our largest number of active dealers ever for a second quarter with 10,736 active dealers. From an initiative perspective, we continue to try new go-to-market approaches using a test and learn approach. We believe some of these have been successful and have contributed to our growth. We also continued investing in our technology team, we have ramped up personnel and are focusing on modernizing how our team perform work with the goal of increasing the speed in which we enhance our product for our dealers and consumers. During the quarter, we’ve seen three awards from Fortune, U.S. News and the Best Practices Institute recognize us as a Great Place to Work. We continue to focus on making our major workplace even better to support our team members in making a difference and what makes a difference for them in connection with their efforts. They contribute to organizations such as Make-A-Wish Foundation, St. Jude Children’s Research Hospital, the Shades of Pink Foundation and Versiti Blood Center of Michigan, among others. Now Doug Busk, our Chief Treasury Officer, Jay and I will take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Moshe Orenbuch of TD Cowen. Your line is now open.
Moshe Orenbuch: Great. Thanks. Is there any way to kind of explain what changes you made in the forecasting methodology? Did you have misses more on the likelihood of default, recoveries on the auto afterwards or any other practice changes that are involved?
Doug Busk: Well, the first thing is, we now believe that the 2022 originations are season enough for us to enhance our estimate over what we provided previously. What we have done simplistically is we have assumed that the ‘23 and ‘24 originations are going to exhibit similar trends in terms of variance from the initial forecast and the slope of the collection curve, which we provided color over time. We are assuming that those percentage changes is going to be similar to what we have seen in 2022. Those trends that we are seeing in ‘23 and ‘24 are there, but they are less severe than the ‘22 loans. And since the – both books of business are also performing better from an absolute perspective, the adjustments in percentage terms is less significant than the mess we are going to have on the ‘22 business. So, it was really just assuming that the ‘23 and ‘24 originations will behave similarly on a percentage basis to what we have seen on ‘22.
Moshe Orenbuch: Doug, one of the things that’s unique about the way you guys kind of report your adjusted earnings is you take that hit into your provision this quarter, but you spread out the impact on future periods. You had a 19.6% yield, adjusted revenue yield. Like can you give us some way of thinking about how much of this is going to flow through and over what period and how to think about the impact on that 19.6%?
Doug Busk: Well, I think that just the yield on the loan asset was 17.7% in the quarter. I think revenue as a percent of average capital was 19.6%. So, two slightly different things, but they will behave similarly. All else equal, we have loan performance is exactly as expected. We would expect the yield or revenue, if you want to look at it as a percent of average capital to decline in Q3. The magnitude of the decline will obviously be dependent on the yield on new originations and obviously, whether loan performance is better or worse than expected. But all else equal, we would expect revenue or the yield on the portfolio to decline.
Moshe Orenbuch: Last one for me. And honestly, I am struggling as to how to phrase this, but given that this is the second of these in basically a year, I guess why is it a good thing that you are originating more loans? Like in other words, shouldn’t you be doing the opposite, should you be pulling back and saying maybe we are doing something wrong here?
Doug Busk: It’s a fair question. As Ken said in his intro, we still believe that these loans are producing returns in excess of our weighted average cost of capital. That’s generally highly returned that you are going to see from others in the industry. So, we think it’s adding shareholder value to continue to originate the business that we are originating. And as I have said, we feel better about the ‘23 and ‘24 loans that we did about the ‘22 loans, which were obviously very disappointing to us.
Moshe Orenbuch: Okay. Thank you very much.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of John Rowan of Janney Montgomery Scott. Your line is now open.
John Rowan: Good afternoon guys. I guess I am going to Moshe’s question, but a little differently. The implied spreads are still pretty high. The initial implied spreads for 2024 are still high, historically speaking. What gives you confidence that those are the right numbers given the magnitude of the reductions that you are putting into the prior forecast revisions? And I guess just trying to figure out there is more risk of continuing to write portfolio down if we are aggressive on some of the assumptions going in that are, again still writing to relatively high spreads historically speaking.
Doug Busk: I mean we are – as I have said, we are basing our current estimate for ‘23 and ‘24 based on the absolute performance to-date, of those vintages. And then we are applying a similar degradation in the collection rate over time to what we have seen in 2022. Now, we are using history as our guide there and forecasting consumer loans, especially in recent years, has been challenging. So, we are putting our best number on it, but is there a chance we could be wrong, there is always a chance.
John Rowan: Okay. And then just for kind of modeling purposes, obviously with the GAAP loss in the quarter, I assume the share count that you reported was the basic share count. Can you just give me an idea of what the – like real diluted share count would be, or how many dilutive shares you have, so going forward, we get that in the model?
Ken Booth: Yes. I think if you look at in our 10-Q, in earnings per share footnote, it will show you how many shares were anti-dilutive for the quarter. If that is the case, since it was a loss, we need to stick with the basic shares. Just taking a quick look here to see what was excluded as anti-dilutive. It was around for the quarter, 217,000 shares.
John Rowan: Okay. Let’s wait here to know. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Rob Wildhack of Autonomous Research. Your line is now open.
Rob Wildhack: Hi guys. One more on the ‘23 vintage, some other lenders have talked about the early part of that year, maybe the first quarter of 2023, loans originated then is driving underperformance for that vintage. Would you echo that, or is the underperformance that you are seeing in 2023 pretty broad-based across originations throughout the year?
Doug Busk: No, I would say that, that’s a fair comment. We see a situation where the early ‘21 loans performed better than the last half of ‘21. The first part of ‘22 was kind of the bottom from a performance perspective. Things got somewhat better at the end of ‘22 and got better in the first part of ‘23, but the underperformance on – the performance of the second half of ‘23 loans was better than the first half for sure. And that trend has continued into 2024. So, long-winded answer, I would agree with your commentary.
Rob Wildhack: Okay. Thanks. And then just on the unit growth, I think April was slower than the quarter was in aggregate, which would imply step-up in growth in May and June. Is there anything specific that was driving the acceleration in May and June? And then to ask the question kind of forward-looking, July looks pretty strong at plus 28%, anything to call out there, is July benefiting from an easy compare or anything like that, or do you think you can continue to grow at that pace going forward?
Ken Booth: I think it’s always difficult to predict. There is a lot of macro uncertainties on the competitive environment, inflation, interest rates, things like that. And you are right that it improved throughout the quarter and into July, whether that continues or not, it’s really tough to say. We will have tougher comparables going forward. That being said, we have made improvements to our product, and we are hoping that’s having a difference as well, and we believe that is a positive impact. So, if you look at buying from the dealer itself, so that’s a good sign for us, and that means our product is probably better and it means our competitive environment is better and hopefully that continues.
Doug Busk: Yes. I think the other point I would add to what Ken said is it’s hard to draw any conclusions from just looking at one month at a time. I mean if I look at the growth rates for the quarter, April was 17%. May was 26%, June was 20% and then July is back up running at 27%. So, when you break it down into smaller units, you obviously get more variability.
Rob Wildhack: Yes. Okay. Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Ryan Shelley of Bank of America. Your line is now open.
Ryan Shelley: Hi guys. Quick question here, so along with your earnings, you filed amendments to both the revolving credit agreement and one of the warehouse agreements around the definition of consolidated net income. Can you just explain the rationale there? And yes, like what definition changes all about? Thanks.
Doug Busk: Yes. I mean as we have said for years in our press releases, we think the best way to evaluate our financial performance is on the basis of level yield accounting based on forecasted cash flows. So, we are looking at the forecasted amount and timing of the cash flows and discounting that back and that gives you a yield. And we are using that yield for revenue recognition. And then if every month, you reforecast the loans. And if your forecast goes up or down, you adjust your forecast, respectively. The adjustments that we made to the definitions and those credit facilities basically start with GAAP net income back out the provision for credit losses and then apply the floating yield adjustment. And when you do that, you get to level yield revenue recognition based on forecasted cash flows.
Ryan Shelley: Got it. Thanks. Thanks for the time.
Operator: With no further questions in the queue, I would like to turn the conference back over to Mr. Martin for additional or closing remarks.
Jay Martin: We would like to thank everyone for their support and for joining us on the conference call today. If you have any additional follow-up questions, please direct them to our Investor Relations mailbox at ir@creditacceptance.com. We look forward to talking to you again next quarter. Thank you.
Operator: Once again, this does conclude today’s conference. We thank you for your participation.